Operator: Good morning, everyone, and welcome to Lowe's Companies Third Quarter 2014 Earnings Conference Call. This call is being recorded. [Operator Instructions] Also, supplemental reference slides are available on Lowe's' Investor Relations website within the investor packet. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call.
 During this call, management will also be using certain non-GAAP financial measures. The supplemental reference slides include information about these measures and a reconciliation to the most directly comparable GAAP financial measures. 
 Statements made during this call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Management's expectations and opinions reflected in those statements are subject to risks and the company can give no assurance that they will prove to be correct. Those risks are described in the company's earnings release and in its filings with the Securities and Exchange Commission.
 Hosting today's conference will be Mr. Robert Niblock, Chairman, President and Chief Executive Officer; Mr. Mike Jones, Chief Customer Officer; and Mr. Bob Hull, Chief Financial Officer.
 I will now turn the program over to Mr. Niblock for opening remarks. Please go ahead, sir. 
Robert Niblock: Good morning, and thanks for your interest in Lowe's. I'm pleased with our strong performance in the third quarter. Comparable sales were 5.1%, driven by an increase in comp average ticket of 3.4% and an increase in comp transactions of 1.7%.
 We saw balanced performance this quarter across our 3 business areas, building and maintenance, home decor and seasonal as all delivered comps within a tight range. We had positive comps in all 12 product categories with particular strength in fashion fixtures, kitchen appliances, millwork and outdoor power equipment. 
 Sales across the country were balanced as well, with all 3 divisions, the North, South and West, all generating comps in the mid-single digits. In fact, all 14 regions had positive comps.
 We saw continued strength in our Pro Services business, which outperformed the company average during the quarter, and I'm pleased to share that our team in Canada delivered double-digit comps in local currency for the sixth consecutive quarter. 
 We remain focused on improving our profitability even while investing in key capabilities to drive sales growth. For the quarter, we drove 81 basis points of operating margin expansion and earnings per share of $0.59, a 25.5% increase over last year's third quarter. 
 Delivering on our commitment to return excess cash to shareholders, in the quarter, we repurchased $900 million of stock and paid $229 million in dividends. 
 We're pleased with our performance in the third quarter and continue to be cautiously optimistic about the home improvement landscape. Disposable personal income and revolving credit usage, which are key drivers of discretionary consumer spending, appear to be improving above the relatively weak trends experienced during most of the recovery to date and the consumer is also benefiting from lower interest rates and falling fuel prices.
 Existing home sales remain on a modest uptrend and the latest reading on the broadest measure of home price growth, FHFA, improved modestly from last quarter, suggesting home price appreciation in small to midsized markets continues, which bodes well for consumers in Lowe's footprint. These positive trends align with recent consumer confidence readings and the results of our third quarter consumer sentiment survey, which revealed that homeowners' views around personal finances and home values continue to improve. In fact, confidence in both local and national housing markets increased to prerecession highs this quarter. In addition to the improving sentiment, homeowners disclosed that now, more than any time since 2006, they are looking to invest in their homes. And while most consumers' planned projects are still small ticket, we are seeing a rise in big-ticket projects, which is encouraging.
 Continued improvement in the macroeconomic landscape, together with our strengthening execution, strategic priorities and keen focus on productivity and flow-through give us confidence in our business outlook for 2014.
 I would like to thank our more than 260,000 employees for their efforts in achieving this quarter's strong results and for their unwavering commitment to serving customers while we further transform our business model. We look forward to sharing our long-term vision for the business at our Analyst and Investor Conference on December 11. 
 Thanks, again, for your interest. And with that, let me turn the call over to Mike. 
Michael Jones: Thanks, Robert, and good morning, everyone. As Robert shared with you, we had a strong quarter with positive comps across all regions and all product categories. We continue to capitalize on an improving macro backdrop to enhance sales and operations planning process, improve our relevance with the Pro and develop customer experience design capabilities. 
 Our outdoor power equipment category experienced the strongest growth in the quarter with double-digit comps. A milder summer helped lawns stay healthy well into the fall, and we prepared to meet strong demand for mowers and trimmers with great national brands like Husqvarna, John Deere and Troy-Bilt, supplemented with the launch of our Kobalt line of battery-powered handheld outdoor power equipment. In addition, concern about another cold, wet winter prompt many customers to buy snow throwers and other winter products earlier this year. We're able to meet that early demand thanks to strong vendor partnerships and a robust distribution network. We also drilled above-average comps in millwork, kitchens and appliances and fashion fixtures. All 3 categories benefited from the customer's increasing interest in refreshing both the exterior and interior of their homes. We encourage them to choose Lowe's for their project needs through targeted promotions and our investment in project sales specialists. 
 We have project sales specialists that focus on the exterior of the home available across all U.S. stores, and we're continuing to expand our interior project sales specialist program as well. Our project sales specialists are simplifying the process by guiding customers through inspiration, design and installation. Customers have responded positively to these programs and we are pleased with their performance.
 Fashion fixtures also benefited from a strong sales of light bulbs, particularly our Home Center exclusive line of OSRAM SYLVANIA LED bulbs, a brand customers know and trust.
 As Robert mentioned, our Pro business continued to perform well. In fact, our Pro comps outpaced the company average for the 13th consecutive quarter. The Pro continues to grow faster than the rest of the home improvement market, and we strive to provide Pros with great service that makes doing business with Lowe's as quick and convenient as possible. We engage with Pros through multiple channels: in-store where we have dedicated specialists to answer questions and dedicated loaders to help Pros get back to the job quickly; at the Pro's place of business where account executives help maintenance, repair and operation customers order and replenish products regionally; through our national account representatives who assist Pros who do business with Lowe's across the country and online where we are also committed to providing convenient services to Pros. In fact, our beta test of LowesForPros.com is going very well. This dedicated platform is fully transactional and will also provide Pros useful functionality such as the ability to develop requisition lists and the ability to see their purchase history as well as customized product categories. This site can also be integrated with many purchasing systems that Pros use to manage their business, further streamlining their day-to-day operation and helping Pros work more effectively. We've been expanding our test group and have received positive feedback on the site's flexibility and ease-of-use. We expect a soft launch late in the fourth quarter.
 We also continue to work with vendors to add brands that Pros know and trust. I'd like to provide one specific example to convey an opportunity we believe we have with the Pro. In August of this year, we introduced the Henry coating brand of roof repair and driveway sealer products to stores in Southern California, Nevada and Arizona. Henry coatings is a leading and relevant brand among Pros on the West Coast. We use it for both residential and commercial application. In fact, our store employees told us that many Pros in these markets request the Henry brand, which they prefer for its durability and ease of application. Since adding the Henry brand, we have measured double-digit comp sales of roof repair and driveway sealer products in the markets where this relevant brand was added to our assortment. As we improve our service and product offering for the Pros, it will become increasingly important for us to reconnect with Pros who have not recently purchased from Lowe's and show them what's changed in our stores and online.
 One way we'd do this is through Pro-focused events. For instance, September was Pro appreciation month in all of our U.S. stores. During the event, we offered better demonstrations, special values on core Pro products throughout the store and introductory credit offers. Pro appreciation events help us strengthen partnerships by generating new business. We'll continue to use events like these as well as targeted marketing to drive awareness as we make further progress in addressing product and service opportunities for the Pro.
 As we have shared with you previously, our enhanced sales and operations planning process has enabled us to improve seasonal planning, including the cadence of inventory allocation, staffing, associate training and marketing. This quarter, this process helped us stay connected and address customer needs for the fall such as planning, home winterization and exterior maintenance. We are now transitioning to a holiday focus as customers refresh their homes for holiday guests, decorate and organize their homes after the holiday. In fact, we have repurposed the space used for the outdoor living experience to create a holiday decor experience like no other in home improvement, one which inspires customers to decorate, raise their awareness of the breadth of our holiday decor and our gift offerings and provides project solutions relevant to the holiday micro- seasons. 
 But it starts even before the customers reach our stores. With inspiration through our marketing and online resources, including Lowes.com, Creative Ideas, Vine videos and Pinterest boards. When customers arrive at our store parking lot, inflatables and live Christmas trees set the holiday mood. Then as they enter the store, they are met with our full holiday story. This space, initially created for outdoor living experience, which delivered strong results and is made possible by a larger-store format, provides an inspirational holiday showroom where customers can see everything from poinsettias and artificial trees to indoor and outdoor decorations and gifts.
 And our feature display sets the stage, inspiring customers to start dressing up their homes by showcasing coordinated, trend-right holiday decorating solutions. In our cases, whether they feature display or the artificial trees, the vignettes are clearly tagged to help customers coordinate style and easily find nearby take with inventory. We have also consolidated our gift-wrap stack-outs as well as our electric stack-outs to make it easier for customers to identify all the products they would need to wrap gifts and hang lights. There's more, but you get the point. It's bold and it's rooted in research, which indicates that customers want help coordinating holiday themes. 
 We are also excited about the exclusive innovations we continue to bring to market, many of which will make great holiday gifts. These include the Pilot brand InstaBoost Jump Starter, powerful enough to jump start cars, SUVs and pickup trucks, yet small enough to fit in your glove compartment even with the attached jumper cables; the new Troy-Bilt Vortex Three-Stage Snow Blower, with its top-rating from a leading consumer magazine; and our new KOHLER Purefresh line of toilet and toilet seats, which neutralizes odors while providing a night light, slow-close lid and other features. 
 In addition to our efforts to drive top line growth, we are focused on driving productivity and profitability. During the third quarter, our stores did an effective job of managing payroll hours as comp sales accelerated, resulting in a roughly 50 basis points of payroll expense leverage. Additionally, last year, as part of our Value Improvement initiative, we reinvested in inventory to provide greater depth of high-velocity items and more job-like quantities for Pros. We've held inventory per store roughly constant in the third quarter even while increasing comp sales. 
 We are pleased with the progress we're making this year on sales, productivity and operating profitability and we continue to look for ways to improve even further. 
 Thank you for your interest in Lowe's, and now I will turn the call over to Bob. 
Robert Hull: Thanks, Mike, and good morning, everyone. Sales for the third quarter were $13.7 billion, an increase of 5.6%, driven primarily by comp sales. Total average ticket increased 2.9% to $65.97 and total customer transactions increased 2.6%.
 We've anniversary-ed the Orchard acquisition, so these stores are now considered comp. For the quarter, comp sales were 5.1%. The monthly comps were 3.5% in August, 5.2% in September and 6.6% in October. When compared to last year, the monthly 2-year stack was relatively consistent across the quarter. Please refer to Page 7 in the supplemental slides for further details.
 For the quarter, comp average ticket increased 3.4% and comp transactions increased 1.7%. Year-to-date, sales of $43.7 billion were up 4.6% versus the first 3 quarters of 2013 driven by a 3.5% increase in comp sales, the addition of Orchard and new stores.
 Gross margin for the quarter was 34.49% of sales, which decreased 9 basis points from Q3 last year. The decrease was driven primarily by targeted promotions and the mix of products sold. These items were mostly offset by continued benefits from Value Improvement and better sell-through of seasonal goods as a result of our customer experience design efforts. Year-to-date gross margin was 34.82% of sales, an increase of 25 basis points over last year.
 SG&A for Q3 was 23.8% of sales, which leveraged 76 basis points. Store payroll leveraged 48 basis points as we continue to optimize hours against customer traffic. Bonus expense leveraged 24 basis points due to lower expected attainment levels relative to last year. Also, recent expenses leveraged 13 basis points, the result of elevated expenses in Q3 last year. Year-to-date SG&A was 23.15% of sales, which leveraged 37 basis points versus last year.
 Depreciation for the quarter was $375 million, which is 2.74% of sales and leveraged 14 basis points compared to last year's third quarter as a result of sales growth. In Q3, earnings before interest and taxes or EBIT margin increased 81 basis points to 7.95% of sales. For the first 3 quarters of 2014, EBIT margin was 9.1% of sales, which was 67 basis points higher than the same period last year.
 For the quarter, interest expense was $134 million and deleveraged 1 basis point to last year as a percentage of sales. 
 The effective tax rate for the quarter was 38.6%, which was higher than last year's 37.6%. The higher rate, which was consistent with our expectations, was the result of tax programs that expired at the end of last year. 
 Net earnings were $585 million for the quarter, an increase of 17.3% over Q3 2013.
 Earnings per share of $0.59 for the quarter were up 25.5% to last year. This is roughly $0.05 higher than our expectations, driven by both higher sales and better expense leverage. For the first 9 months of 2014, earnings per share of $2.24 represented a 21.7% increase over the same period last year. 
 Now to a few items on the balance sheet, starting with assets. Our cash and cash equivalents balance at the end of the quarter was just under $1.6 billion. Our inventory balance of $9.8 billion increased $169 million or 1.8% versus Q3 last year. Inventory turnover was up 2 basis points over last year at 3.73x. Asset turnover increased 9 basis points to 1.65. 
 Moving on to the liabilities section of the balance sheet. Accounts payable of $6.5 billion represented 11.8% increase over Q3 last year caused by the timing of purchases year-over-year. In the third quarter, we issued $1.25 billion of unsecured bonds. The bonds consisted of 5-, 10- and 30-year issuances with a weighted average interest rate of 2.55%. 
 At the end of the third quarter, lease-adjusted debt-to-EBITDAR was 2.21x. Return on invested capital increased 176 basis points for the quarter to 13.02%.
 Now looking at the statement of cash flows. Cash flow from operations was almost $4.7 billion, an increase of $825 million over last year, largely due to working capital as well as growth in net earnings. Capital expenditures were $587 million, down nearly 4% from last year. Year-to-date free cash flow of $4.1 billion was 26% higher than last year.
 In the quarter, we repurchased approximately 17 million shares for $900 million. Also in the quarter, we received 2.3 million shares as part of the final settlement associated with the accelerated share repurchase program executed in Q2. We have approximately $3.4 billion remaining on our share repurchase authorization.
 Looking ahead, let me share our business outlook. We have combined our year-to-date performance with our previous assumptions for the fourth quarter. We now expect total sales increase of 4.5% to 5%, driven by comp sales increase of 3.5% to 4% and the opening of 6 home improvement stores and 4 Orchard locations. We're anticipating an EBIT margin increase of 70 to 75 basis points and expect that the improvement will come from both gross margin expansion and expense leverage. The effective tax rate is expected to be 37.2% for the year. And we expect earnings per share of approximately $2.68 for the year, which represents an increase of 25.2% over 2013.
 We are forecasting cash flows from operations to be approximately $4.2 billion. Our CapEx forecast for 2014 is approximately $1 billion. This will result in estimated free cash flow of $3.2 billion for 2014.
 Our capital allocation priorities are to: first, invest in the business where we believe we can add value; second, pay dividends, we are currently targeting a 35% payout ratio; and lastly, to repurchase shares. Our CapEx forecast for 2014 is less than originally planned. As a result, we are increasing our share repurchase assumption by $300 million to $3.7 billion for the year. 
 Regina, we are now ready for questions. 
Operator: [Operator Instructions] Our first question will come from the line of Dan Binder with Jefferies & Company. 
Daniel Binder: My question was related to 2 things, first was on ticket. Was there any significant in inflation? Or was it primarily just in any of categories like lumber? Or was it primarily just big ticket doing better that drove the ticket growth? 
Robert Niblock: So Dan, it was primarily big-ticket categories doing better in the quarter. As Mike talked about, strength in OPE with the performance in appliances, flooring and millwork. As it relates to inflation, deflation, we did see inflation in lumber, but that was largely offset by deflation in OSB boards and copper. So essentially, no net inflation impact on the quarter. 
Daniel Binder: And then you noted targeted promotions for a little bit of the weakness in gross margin. Is there a plan to continue that? And what categories do you expect that to be in? 
Michael Jones: Yes, we do expect to -- we think the impact of promotions in the fourth quarter will be pretty much as the same as it was in the third quarter, largely focused around appliances. 
Robert Hull: Yes, so Dan, the targeted promotions were largely matching competitor offers. Nothing initiated by Lowe's in the quarter. We do expect a similar promotional cadence Q4 relative to Q3. Impact probably less than Q3 as a result of the industry largely going to full promotions for the month of November, primarily in appliances. So roughly a 25 basis point impact in Q3, probably a 15 basis point impact in Q4. So less drag in Q4. 
Daniel Binder: And Q3 was appliances as well? 
Robert Hull: Appliances and big tickets. 
Operator: Your next question will come from the line of Michael Lasser with UBS. 
Michael Lasser: So the spread between your comp and Home Depot's U.S. comp narrowed to its lowest level in 4 years. It's obvious to question about whether you think you benefited from the breach at Home Depot. So if you look at the stores that are in close proximity to The Home Depot stores, did those stores comp better than the others? And if they did, obviously you deserve credit for capitalizing on some of the disruption. 
Robert Niblock: Mike, this is Robert. I think, as we look across the business, I will really attribute our strong performance to the internal initiatives that we've been working on, combined with the strengthening macro backdrop. As I talked about in my comments, the FHFA numbers continue to improve, which means that you're seeing improvement in home values in the small and midsized markets, which, I think, as I said, lines up well with our footprint. So we're focused on our strategic priorities. And I think, if you look at, to your direct question, probably 90-plus percent of our stores are in close proximity to the competition, so we wouldn't have seen anything noticeable by trying to carve that out so... 
Michael Lasser: Okay. And given the cadence to when all that happened, it was hard to discern as well? 
Robert Niblock: Correct. 
Michael Lasser: Okay. My other question is on payroll expenses leveraging 50 basis points, that's a good result. Do you think that you can maintain that type of performance moving forward? Or was there something unique in this quarter that won't let it continue? 
Robert Hull: So Michael, we've made investment in weekday teams in 2013 and really worked to optimize those beginning second half of '13 into 2015. If you look at last year, we actually had some modest payroll deleverage, Q3 2013, which drove some outsized leverage Q3 this year. We've got some good tools in place that allow us to continue to optimize payroll. We do expect further leverage in Q4 and into 2015, but probably not to the same degree we saw in the third quarter. 
Michael Lasser: And Bob, just to follow up on that, are you seeing a benefit to your conversion as a result? Or was it traffic really driven by draw? 
Robert Hull: So we have seen improvement in conversion rates. It's really everything we've been doing for DIYs and Pros as it relates to the payroll investment. I noted the inventory investment last year, the line review process that we went through with Value Improvement to really get rooted in the products that the customer cares about. We saw a roughly 100 basis point improvement in conversion rate in the third quarter. 
Operator: Your next question will come from the line of David Strasser with Janney Capital Markets. 
David Strasser: When you look at your business versus 2005 during the last peak period of time, how different do you see the store? And I guess what I'm trying to look at is when you think about it per square -- sales on a per-square-foot basis, how dramatic have newer products been to the overall mix? And if you were kind of just looking at it just from a mix-to-mix standpoint, how much more opportunity do you think there would be in driving those sales on a like-for-like basis? 
Robert Niblock: Dave, I'll start. Well, first of all, when we think about comparing the business all the way back to 2005, certainly it's a dramatically different environment today: one, from the overall macro environment, how strong housing was back then and [indiscernible]. But then, two, this whole omni-channel world that we're in today. So it's -- so the customer -- our growth focus is we've got a great footprint of stores out there that is the nucleus of where we're going with our strategy, but we're building on that with, obviously, our own -- improving our online capabilities, capabilities through our contact center for those who want to talk directly with an agent or through in the home where we've got project specialists exteriors in all markets we're rolling out our PSI program, which is capitalizing on a recovering housing market. So I think all of those things set us up somewhat different from where we were back in 2005. One of the other things that we'll talk about, as Mike alluded to in his comments, is we also think that brands are important, particularly with our Pro initiative and so that is a focal point the teams have been working on to ensure that we have the right brands ready in the store to resonate with the Pro customer and I think that will also help us improve in those metrics as well. So... 
David Strasser: Okay. I mean, when you just look at -- I guess, just from a dot-com standpoint, you've talked about this a bunch. From an incremental standpoint and I'm -- how much do you think that can ultimately help productivity in the store? I know it's a big question. I'm just kind of trying to think of just a little bit bigger picture. 
Robert Niblock: Well, I think it'll be significant because, I think, today -- in today's world, with where we're at from a technology and a customer expectation standpoint, I don't think you're going to be relevant if you don't have a website that, one, is functional feasible from the consumer's standpoint, but also well connected to your other channels of business. That's why we're after an -- it's not just multiple channels, but it's an omni-channel where these work together because that really gets back to being able to be there and meet the customer whenever and wherever they choose to engage in a simple and seamless manner. That's what we believe our customers are looking for. So even though it may be a small percentage of it that actually transacts online, it's heavily induced by people starting their research online. Like 80% or 90% of people that start on mobile, there's only -- there are only about 10% of them conclude a transaction there, but they are looking for what's available in-store when they're visiting you. 
Michael Jones: So if you think about our holiday decor experience, I talked to the fact that it starts online with Pinterest, it starts online at Lowes.com, it starts online with Vine to drive inspiration and then they come into the store. And likewise, you saw the same thing happen over the spring with our outdoor spring experience. 
Operator: Your next question will come from the line of Scot Ciccarelli with RBC Capital Markets. 
Scot Ciccarelli: I know you highlighted strength in the Pro and I think Mike mentioned some specific initiatives you guys are doing to drive market share. Your friends in Atlanta are also focused on this pretty important customer base and also doing well. I guess, my question is do you think there's a lot less competition out there to serve the Pro than what we had maybe a couple of years ago due to the downturn, which I'm assuming took out a lot of competitive capacity, number one? Number two, how should we think about your opportunity in this segment going forward? 
Michael Jones: Yes, I don't know that I can say there's less competition. There's been some consolidation of some of the small local and regional players, but I don't know that I would think about the competitive set any different. The example I used was Henry coating in my address earlier where we have the right brands, where we have the right local -- we have the right inventory, where we have the right localization, we see growth. And so we're excited about it and we'll talk more about some of our Pro initiatives at the upcoming AIC meeting. 
Robert Niblock: And Scot, this is Robert. When you think -- it kind of dovetail into our last question when you think about competition. Yes, there might have been consolidation, there may be fewer just dedicated Pro lumber and building material yards than there were before the downturn, but also think about technology and how that's changed. How for example, online and the availability now of being able to interact with the DIY or Pro customer online so that -- that's why we're focused on launching our LowesForPros.com because, yes, it may be different, but it's still a competitive market. 
Scot Ciccarelli: So as you guys can invest more into technology and have those systems and capabilities, in theory, you should be able to continue to gain market share with that customer base? 
Robert Niblock: Correct, and that's why obviously we'll continue to have plans to invest funds in those areas. So... 
Operator: The next question will come from the line of Laura Champine with Canaccord. 
Laura Champine: Robert, could you just comment on how much Orchard Supply added to your comp this quarter? 
Robert Niblock: It virtually added nothing to comps for the quarter. We think about the size of the business, technically it was only in the comp base for 2 months that, really, with or without Orchard to comp, our number would not have changed, Laura. 
Laura Champine: And then can you also comment on what drove the appliance business because we're particularly surprised by the streak that you saw there in the quarter. 
Michael Jones: A couple of reasons. We spoke to being certainly promotional at the same level as our competitive set in the appliance business a few minutes ago. I like our footprint in appliances. I like the amount of space that we dedicated to the floor for appliances. We're proud of the fact that we have large stores and so we can dedicate space to appliances and not have to detract space from other important categories like cabinets that helps the consumer pool the entire project together. And I like our brands. I also like the fact that, as we think about building out better experiences, we own that appliance experience with our customer all the way through to the last [indiscernible]. We deliver the appliances, we facilitate insulation, we really do own that experience. So we feel good about our position. We think that the way we're merchandising appliances, our partnerships with key brands like Bosch, Whirlpool, GE, Electrolux allows us to offer everything the consumers need. And it's an area that we're pretty well focused on. 
Operator: Your next question will come from the line of Seth Basham with Wedbush Securities. 
Seth Basham: My first question is around some of these big-ticket category drivers for the quarter. Would you care to quantify how much appliances and OPE added to the comp? 
Robert Hull: Don't have the exact quantification. As Mike spoke of, OPE was in the mid-teens from a comp perspective. Appliances was above the company average. So both were certainly drivers, Seth. If you look at tickets above $900, that's going to be about $500 comp goes up a little higher than 9%. So certainly, big ticket was driver of the comp in the quarter led by the categories we spoke about previously. 
Seth Basham: Got it. As you roll into Q4 with continued promotional environment in appliances, do you expect to see the same level of comp contribution from that category? 
Robert Hull: I think as we spoke about earlier last year, it was kind of Black November from an appliance perspective. So the -- while the level of intensity will be more consistent, the impact will be muted because we're comping against efforts for last year. Therefore, I think we will see more balanced performance. We do see continued strength in OPE, but probably not to the degree we saw in Q3. So we'd expect a little bit more balanced performance across the categories in Q4. 
Operator: Our next question will come from the line of Budd Bugatch with Raymond James. 
David Vargas: This is David on for Budd. I had a question just about inventory levels and supply chains. You had your competitors mention seeing being in a good in-stock position going into the holidays, but definitely seeing some troubles, I guess, you could say, in the supply chain, notably some congestion at the ports and also issues with the driver shortages. Can you comment on if you're seeing any of that? 
Robert Niblock: This is Robert, I'll start, Dave. When you think about Black Friday, when you think about the holiday season, we think we're in great shape with the inventory already landed and either in our stores or in our distribution networks. Certainly, with what's going on with ports on the West Coast, keeping a close eye on it. Our team is heavily focused on that and working to develop contingency plans based on how that situation unfolds going forward. We've been through this before and so it may cost more to get the freight in, but we'll do what we need to as we think about looking ahead to spring. And keep in mind, when you think about our network of distribution centers, our distribution centers aren't just for cross-docking, they also hold inventory. So that gives us great flexibility, as product is landed, to go ahead and bring it in either in our import centers or in our distribution centers, to have it available then to push out to our stores. So we're in great shape as we head into Black Friday into the holiday season this year. Yes, there has been a little bit of pressure when you think about higher costs from driver availability and stuff like that, but fortunately, with lower fuel prices, that's helped to offset some of that costs to what we've experienced to date. 
David Vargas: Okay, great. And one more question on the modeling going forward. In terms of the 70 to 75 basis points of operating margin expansion you see, can you give us an idea of what that -- the contribution split would be roughly between gross margin and SG&A? Is it going to be similar to what we saw this quarter? Or a little bit more balanced? 
Robert Hull: I assume you're talking about Q4? 
David Vargas: Yes, yes, Q4 or -- yes. 
Robert Hull: So for the year, we expect the gross margin to be roughly consistent with where we are to date. The 2, 3 quarters of performance felt at the last year, the lion's share of expansion is going to come from expense leverage. As you've heard us talk, we're really focused on driving productivity and flow-through, so good expense productivity. We'll see even more of that in the fourth quarter, driving productivity. We talked about payroll. We'll leverage bonus expense in the quarter. We also had some impairment in Q4 last year we don't expect to recur this year, so we'll have some healthy expense leverage in the fourth quarter. 
Operator: Your next question will come from the line of Mike Baker with Deutsche Bank. 
Michael Baker: Just focusing on that margin. In the past, you've talked about a rule of thumb of 20 basis points of margin expansion for every 1% comp above 1%. Your guidance this year is ahead of that, closer to 25 to 30. So my question is how do we think about that going forward? Is your efficiency and productivity such now that, that rule of thumb should go higher? 
Robert Hull: Yes, we believe so. So we think back to where we've been over the past number of years with the focused initiative we saw on stabilizing the revenue then shifting gears towards productivity and profitability. So we're in that phase of focus on productivity and profitability. We expect 2015 hopefully looks a lot like 2014. We're in the throes of developing our plans for 2015. Like 2014 we hope to grow comps with flattish payroll hours and flat inventory dollars. We'll give you more details on 2015 on the Q4 call in February. 
Michael Baker: So, I guess, to the follow-up question, is that -- would that higher rule of thumb and thinking it might occur next year, does that give you visibility into that 9.7% operating margin for 2015 that you guys talked about in December 2012? 
Robert Hull: Certainly. So that's been part of the plan all along. That's what we've not wavered from the 9.7% is we need to grow both top line and our productivity. We are getting better flow-through now as you suggested, Mike, in the 25 to 30 basis point range. We'd like to see that towards hopefully towards the high end of that range in 2015, but again more to come. 
Operator: Your next question will come from the line of Peter Benedict with Robert W. Baird. 
Peter Benedict: My question is on kind of the Pro versus DIY when we think about it from a margin perspective. Can you talk to kind of the average margin profile of a Pro basket versus the average DIY basket, how materially does it differ? 
Robert Niblock: Peter, this is Robert. I'll start and let the others add in. But when you think about it, as we talk about the Pro and the Pros that generally we target that shop our stores, they're generally buying across the store. So you generally are not seeing a significant difference in the baskets -- on margin rate on the basket with what they're buying versus what our typical DIY customer would be purchasing. 
Peter Benedict: Okay. And then how about the average spend per the year, do you guys kind of benchmark that in terms of what you think your Pros are spending on average? 
Robert Hull: The average Pro spend is probably in the $2,000 range. As Robert indicated, they're buying across the store. There's a healthy margin mix and we feel good about the game plan that serve the Pros. 
Operator: Your next question will come from the line of Brian Nagel with Oppenheimer. 
Brian Nagel: A couple of questions, one long and one short. I mean, for the long one. A lot of talk from you and others about this pretty significant market share shift we're seeing in the appliance business you quoted benefiting from it. As you look at your customer data and you're getting that maybe potentially that new customer now buying an appliance at Lowe's, is that someone that is new to Lowe's store? Or is it an existing customer now that you expand their share of wallet, so to say? And then how sticky has that customer been? If there's any way to determine that. 
Robert Niblock: Well, I think, I'll start, Brian, and then I'll maybe get Mike Jones to jump in. Certainly, as we continue to improve the way we go to market, even improving things like website functionality and the website search and those type of things, now we're making sure that when the customer's in the market to buy an appliance, we're in the top in their consideration set. And still a majority of the appliances -- or a significant amount of the appliances that we sell are still replacement of an appliance that's in a distressed situation. So being there at the right time. But you also know that as the remodeling market is coming back with consumers going to put in a new kitchen, we also -- when they put in the kitchen, we'll sell the appliances as well. So the thing about a lot of our targeted efforts, whether that's our PSI program and those types of things, that are really working on a better -- in a more effective way with the consumer in improving their home, I think all of that helps us how to have the right products, the right brands, making sure that we're there when the customer needs us on a omni-channel basis I think helps in that we've got all the key brands out there, as Mike indicated earlier in his comments. So I think it just positions us well given that the majority of customers that come in our store everyday are homeowners when it is time for an appliance, they're familiar with the brand. They know Lowe's and it sets us up well to continue to gain share with -- in the appliance industry. So... 
Michael Jones: Yes, and I'd add a couple of things to that. When you think about our ability to help the consumer put together their project by deploying our project specialists to their home. That's going to help us expand our relevance for customers that we have and gain some new customers. In addition to that, if you think about the way we're building up better experiences starting online going into the store, we think that also helps us both make the customers that we have more sticky as well as start to lean into some new customers. So we look at it -- we don't look at it as either/or, we look at it as we're going to go after both. 
Brian Nagel: Got it. And the second shorter question, I don't you think you've mentioned this yet. But any comment on sales trend thus far in Q4? I mean, recognizing we're early in back-end weighted period. 
Robert Hull: Yes, so Brian, we're off to a great start. In fact, we're very impressed with our results thus far. But it's still very early in the quarter and there is weather risk in January. So at this point, we're comfortable with the guidance we provided thus far. 
Operator: Your next question will come from the line of Eric Bosshard with Cleveland Research. 
Eric Bosshard: Two questions. First of all, in terms of market share, your performance this quarter looks improved from what you've posted recently. I know you've talked a bit about appliances and outdoor power. But from a bigger-picture perspective, Mike or Robert, what do you think is changing? And is that sustainable in terms of your market share performance? 
Robert Niblock: Eric, I'll start and then I'll get Mike to jump in. But yes, I think it's a lot of heavy lifting we've been doing over the past few years, past few quarters for this line review process whether it's the incremental inventory that we put in the stores, whether it's the customer experience work that we've been doing to bring better experiences, it's improvements that Mike and his team have been working on for the website to make a better experience, better connected and then just things like we just talked about earlier on in the call with the weekday team here. We launched those a couple of years ago. As people can get more experience, as we get their hours adjusted in the right part of the store at the right time to meet the consumers' needs, yes, it feels good, particularly, as we talked about, with the environment and home prices improving on a broader scale sets us up well for our footprint. And then some of the work that the team is doing to really focus more on the opportunity with that Pro customer. Yes, it does feel like we've got opportunity to continue to gain market share and to be able to deliver better performance. 
Michael Jones: Yes, I'd agree. It's difficult to measure share. It's -- you've got [indiscernible]. You have to use a lot of different data to begin to have a perspective, but we also believe that we're gaining share. I'd add a couple of things. I think our associates have done a phenomenal job. They're energized, they're engaged and they're meeting the needs of our customers and so we're so appreciative of what they do. Our outdoor selling teams, our Pro teams, are doing a phenomenal job. The project specialists continue to do a fantastic job. But to Robert's point, our initiatives are really starting to get good traction. We talked about sales and operations planning, where we started to plan out the upcoming selling season 6 months to a year in advance that helps to make sure that we have the inventory we need, so we meet the customers' needs. We talked about our better utilization of our larger stores, which we believe to be a distinct competitive advantage where we can show products like our Innovations and our Innovation End Caps. And I don't want to miss our vendor partnerships. So, so critical. We've got great vendor partnerships that are bringing us innovations and first-to-markets and working with us to make sure that we have the right brand portfolio to meet both the needs of the Pro as well as the need of other do-it-yourself customers. So a lot of things going well. I know that in your shops, Eric, you've heard lots of things from our merchandising team and how engaged they are and they're doing a phenomenal job as well. So just a lot of things going well and we're proud of the teams. 
Eric Bosshard: Great, that's helpful. And then secondly, in terms of the margin progression, and Bob, your commentary in sticking with the 9.7% next year. I know there was a period of time where there was -- it felt like a larger gross margin emphasis in the company. It feels like there's now, perhaps, recognizing an opportunity to better lever SG&A. I'm just wondering if you can give us a little bit more color on your thought of the slope of margin improvement from here. And other than sales progress, is there something incremental you're accomplishing that allows you to lever or improve margin at a better rate that you've done in the past? 
Robert Hull: So Eric, what I'd say is that we guide to EBIT because there's pushes and pulls with margin and expenses. We want to manage the business with flexibility to respond to competitive actions. We want to have a flexibility to manage our initiatives and put our initiatives in place. So I'm not sure that the mindset's necessarily different, Eric. We certainly expect to have both gross margin improvement and SG&A leverage. It just so happens we're identifying a lot of productivity opportunities that happen to be expense-related at this juncture. As the merchant teams go through round 2 and round 3 of Value Improvement, there are still opportunities to bring value to the consumer. As Mike discussed parts with our vendors, we think there's additional gross margin opportunities from that going forward. So it just so happens, at this juncture, we're seeing a little bit more opportunity from expense. 
Operator: Your next question will come from the line of Matthew Fassler with Goldman Sachs. 
Matthew Fassler: I've got a couple of follow-ups. First of all, can you talk to us, if you look through some of the ticket metrics for this quarter, which have some one-offs like OPE, what was the ticket cadence in sort of the customer traffic in some of the bigger-ticket areas telling you about where the customer is in the home investment cycle relative to the past couple of years? Are you seeing a deepening of interest in some of the bigger-ticket project-oriented areas? Or are we still talking about more of the repair and maintenance kind of categories driving the business today? 
Robert Niblock: Well, as we -- I'll start and I'll let the others jump in. As I said in my comments is we see the consumer getting engaged in home and home improvement and their thoughts around the home, their confidence in both local and national housing market and the value of their homes improve, we are seeing continue to get engaged in taking on discretionary projects. Today, most of those are still in the smaller projects, which we label as $500 or less, but we did see an uptick versus same quarter last year and a willingness to take on larger projects, which we think bodes well going forward as we continue to see home values continue to improve and consumer finances continue to improve. So... 
Matthew Fassler: Okay. And then the second element of my question, just following up, and Bob, you just a moment ago that the merchants would go back and take a look at other opportunities for Value Improvement. What do you think is left? Either quantifiably or areas of the business that you feel you maybe didn't optimize in the first round as you look at gross margin opportunity? 
Michael Jones: This is Mike Jones. First of all, from a Value Improvement perspective, we view this as the way we work. So it's not something that will be done. We're going to continue to use that process to continue to work with our vendor partners to create more value for our customers. So we've gone through round 2 this year and made great progress. And I can believe when we finish around 2, there will be a round 3, followed by round 4, followed by round 5. So as we continue to look at our business, we continue to find opportunities where there's [indiscernible] to partner with our vendor partners, to take out more costs, quite frankly, both from our side and from their side and deliver more value to our customers. So this, to me, this is not a -- it's not a one and done. We'll be doing this in perpetuity. 
Robert Hull: And then, Matt, I would add, just think about 400 line reviews and the average line review had 4 clusters, so just know we got 1,600 clusters, right? So there's an opportunity to continue to go back and refine the approach, dig into to the demographics, the customer data, the performance to continue to refine the sets. 
Operator: Our final question will come from the line of Aram Rubinson with Wolfe Research. 
Aram Rubinson: Bob, I got your reference. I'm glad you're impressed with the start to November so -- just so you know. One kind of softer question and then one more specific. You seem like you're on a good glide path where your comps are equal to the competition, maybe even better in October. Your DSIs are down, your DSPs are up. Your business seems to be stable. Can you just tell us about the feeling of the organization? And I know that wins sometimes beget more wins, so I'm just kind of curious whether or not you're at that stage of maybe building momentum internally? 
Robert Niblock: Aram, this is Robert. I mean, momentum is a powerful thing. I think we've see a lot of bounce in people's steps. There are a lot of initiatives that we've been working on. There's been a lot of heavy lifting over the past couple of years all the way across the organization both in stores and the corporate offices. We repositioned the company to the more of an omni-channel environment, made some great strides and great improvements are starting to come together and you're seeing a lot of bounce in people's steps and a lot of wanting to deliver even better performance in the future. 
Aram Rubinson: Great. And my other question is just on the Pro. Tool rental is something that we've heard is near and dear or at least of interest to Pro customers and I think you guys don't really have that in terribly many stores. Can you talk about whether or not that's something you're working on? Or if you just don't see the merit in it? 
Robert Niblock: Aram, we've got it in a handful of locations. It's something that we'll continue to put on list to evaluate. But quite frankly, with all the other things that we had to get done over the past couple of years, we had other things that we thought were higher priority. And so it's something we'll continue -- it's on the list, we'll continue to evaluate it. It's something we may look at doing in a better way in the future. But as of today, we've not made any decisions regarding tool rental.
 Thanks. Again, as always, thanks for your continued interest in Lowe's. We look forward to speaking with you again when we report our fourth quarter 2014 results on Wednesday, February 25. Have a great day. 
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you, all, for joining, and you may now disconnect.